Operator: Good morning, and welcome to Wiley's Fourth Quarter and Fiscal Year 2018 Earnings Conference Call. As a reminder, this conference is being recorded. At this time, I'd like to introduce Wiley's Vice President of Investor Relations, Brian Campbell. Please go ahead, sir.
Brian Campbell: Hello, everyone. And welcome to our fourth quarter and fiscal 2018 earnings call. Just a few housekeeping items to start. The call is being recorded and may include forward-looking statements. You shouldn't rely on these statements as actual results may differ materially and are subject to factors discussed in our SEC filings. The company does not undertake any obligations to update or revise forward-looking statements to reflect subsequent events or circumstances. Also note, Wiley provides non-GAAP measures as a means to evaluate underlying operating profitability and performance trends. Non-GAAP metrics, which generally exclude items that impact comparability, comprise the following: adjusted EPS, free cash flow less product development spending, adjusted operating income and margin, adjusted contribution or profit, and results on a constant currency basis. These performance measures do not have standardized meanings described by US GAAP and therefore may not be comparable to the calculation of similar measures used by other companies. They should not be viewed as alternatives to measures under GAAP. Also note, we abbreviate constant currency as CC. Please see the reconciliation and explanations of all non-GAAP financial measures presented in the supplementary information, including our press release. For those who prefer to listen to the call over the phone but still want to view the slides, we recommend that you click on the gears icon located on the lower portion of the left-hand side window and select Live Phone. This will eliminate any delays in doing the slide transitions as well as remove any potential background noise if you prefer to ask a question. After the call, a copy of the presentation and a playback of the webcast will be available on our Investor Relations page. I'll now turn the call over to Brian Napack, Wiley's President and CEO.
Brian Napack: Thanks, Brian. And good morning, everyone. I would like to start off today by sharing some general thoughts about our markets, the company, and the year’s performance. John will walk you through our financial results, business optimization efforts, and financial position before handing it back to me for some thoughts about where we’re headed as a company. Then we will open it up as always for Q&A. For the past several years, Wiley has made substantial progress against two critical goals. One, positioning ourselves for success in the changing markets for research and education. And two, enhancing our efficiency and effectiveness through operational excellence initiatives. On the first goal, we’ve put ourselves in a very good position to succeed in today’s market through both organic initiatives and targeted acquisition. On the second goal, we’ve realized considerable efficiency gains, improving margins in many parts of the business, lowering shared service costs, deploying critical systems, acquiring new platforms and skill sets and transforming our working environments. While revenue growth remains an issue, 1% growth this year with next year’s performance expected to be flat. We see many opportunities to improve our growth profile over time within, across, and adjacent to our businesses while continuing to improve our earnings growth. The good news is that our markets, research, and education are in various stages of transformation, and this change creates opportunity. For example, China and India continue to break out in the global economy and have thus become major growth areas. China recently passed the US in terms of research article output for the very first time. India, which already accounts 36 million college students across 700 universities in 36,000 colleges is now the second largest distance-learning market in the world behind the US, and the government aims to grow both traditional and e-learning enrollment. As a result, we are increasing our focus on these markets as evidenced in our growing editorial and sales footprints in those markets. Funding from research continues to increase worldwide, and this continues to drive increases in article output which is the life blood of our research publishing business. In response, we continue to increase the number of articles that we publish and diversify the models through which we make our content available to the world. We offer our research customers a growing way of products and services to support their success. Open Access and Hybrid publishing models continue to advance generating focused growth opportunities while continuing to improve the price value proposition for our customers. This is very good, significantly our brands in this case, the journals themselves remain as vital as ever to driving how research findings are recognized, prioritized, discovered, and utilized. Under the new models, we have more ways of leveraging our strong portfolio of Journal brands. In the traditional publishing model, Wiley turns down up to two thirds of the articles it receives, even though much of it is very high quality and worthy of publication. Open Access and Hybrid publishing models present new opportunities for us to publish more and for our articles to be read and used more widely. Going forward, we expect to see a mixed world of subscription, open access, and other models that balances pay to read with open and pay to publish. We continue to focus on supporting the needs and goals of researchers across the research value chain. For example, Atypon with its world class Literatum research content delivery platform now delivers over 44% of the world’s English language journals on behalf of its publishing partners, and the highly innovative Atypon team continues to invent new ways to enhance the research journey through its many touch points with researchers, publishers, and libraries. Strategically, the ability to serve the industry with gold standard platforms like Literatum is a great complement to the gold standard publishing we do through Wiley's journals. In the world of education, investment and value creation continue at pace, much of it focused on enhancing a career-focused learning journey for individuals throughout school and beyond. The global economy is rapidly changing and with it the skills and capabilities that workers need to succeed are also changing. There is an urgent and unfilled demand in the workplace for a new mix of hard and soft skills that employers are finding hard to find and that institutions are finding very hard to deliver. The market is demanding that we close the gap between education and employment and that we tighten the alignment between learning providers and employers. There is a growing need for new forms of credentialing, for innovative and alternative approaches to the traditional degree program, and for continual reskilling and upskilling in the workplace. As a key player in this global ecosystem, Wiley's job is to help the learner, the educational institution, and the employer to succeed in this environment. Our role is to deliver the content, courseware, learning tools, and learning services that help people gain the skills and capabilities that they need to enter a career and to adapt as the needs of their workplace change. And since learning is ongoing throughout a career, it is imperative that we support this learning wherever and whenever it is needed whether it is an institutional, corporate, or increasingly non-traditional learning setting. I'm confident that Wiley has the brands, assets, market positions, market relationships and resource to thrive in this dynamic new environment. We continue to invest in and innovate across our education businesses such that we can continue to deliver powerful relevant learning and support the learning journey wherever and whenever it occurs, whether it is at university, in the workplace, or increasingly in non-traditional settings such as online self-study courses or boot camps. Whether through our courseware and credentialing businesses where we're helping students to achieve better learning outcomes faster and cheaper, our education services businesses where helping leading institutions to adapt to the changing and often digital student pathways or our corporate training businesses where we are helping companies to build the teams that they need to win, we're focused on the emerging opportunities of an increasingly demanding education marketplace. We are keenly aware of the opportunities and challenges that exist in all of our markets, successfully navigating both will require smart investment, decisiveness, and focus as well as effective execution. Moving on to the year, we exceeded our financial guidance, and for that, I recognize all of our employees worldwide for their incredible hard work and dedication, the entire leadership team for their effective management and focus throughout the year, and our former interim CEO and current Chairman Matt Kissner, who guided a highly successful transition last year. I inherit a lot of operational momentum and for that I'm grateful. I'm extremely pleased to be at Wiley and I very much like where we stand given where the markets are likely to go in the years to come. We exceeded our financial guidance across the board in fiscal year 2018. Revenue and operating income projected to be flat this year grew 1% and 7% respectively. Adjusted earnings per share rose 4% compared to the low-single digit decline that was expected while cash provided by operating activities was up $59 million to $374 million. We had originally guided to $350 million. Research delivered improved growth in fiscal 2018, with solid performance in subscription renewals in our society business and a continued steady outcome outlook. Business optimization with a focus on operational excellence will be a major focus in 2019. And we see plenty of opportunities to simplify and accelerate our editorial and content management processes, enabling us to efficiently increase the number of articles we publish and significant with the speed with which we publish. There are both opportunities and challenges in the research market, it remains a steady business with must have content, 90% digital penetration, exceptional brands and entrenched market position. In parts of Europe, there are open access mandates and hybrid models taking shape and worth working closely with customers and partners on these initiatives, so we meet their needs while ensuring our future success. We will continue to invest in growing our content output, building our open access position and expanding our existing portfolio proprietary and society brands. Atypon is another great spot, in line with our Atypon acquisition plan we just completed our Wiley Online Library’s migration to the new world class Literatum platform. Literatum is the platform of choice for some of the largest publishers and academic societies in the world and Atypon continues to successfully innovate and enhance workflows across the research value chain. We’re now beginning to realize the considerable savings expected from adopting Literatum and are winding down our legacy content delivery platforms. As a thriving SaaS business, Atypon is multi-year contracts with predictable recurring revenue streams, it is a strong partner pipeline in view and is expected to grow on the order of 10% a year. Atypon has brought to Wiley an excellent technology team that is helping us to think big around product development and value-added services, we expect many more good things to come. Moving forward, in education, we continued to enhance and extend our portfolio of products and services launching and optimizing course workflow and test preparation platforms, implementing new and innovative business models and optimizing all aspect of the business from composition to sales as we navigate the changing marketplace. As noted over the summer, we will launch the next generation WileyPLUS platform in time for the upcoming school year. Major differentiators include ease of use and functionality, state-of-the-art integrations across the university ecosystem and facilitation of both content adoption and user engagement. The release is currently in field trials and receiving very positive feedback. Important to note, that this will be a multi-stage launch with key courses coming out on the new WileyPLUS in the fall of 2018 and more courses to come online the semesters that follow. The Ed Tech remains a major growth opportunity for us includes everything from new forms of credentialing and educational delivery such as we deliver from our industry leading online program management, courseware and corporate training programs to new areas such as student services, data and analytics, student success and retention, enrollment management, career pathway, advancement solutions and more. Estimates vary but the market is very, very large and growing rapidly. We are just in the beginning stages and are looking for ways to expand our position across the Ed Tech spectrum in the years to come. Within our education and service business, we see lots of opportunity with potential new university partnerships and new and innovative program launches with our existing institutional partners. We will announce partnerships and key initiatives as they come online. Our recent accomplishments for the organization include major milestones in the ERP project, the deployment of the important order to cash functionality for our journals business. We are also proud of the recently completed multi-year headquarters transformation, which has resulted in a wonderfully productive and collaborate environment and we’ll generate considerable long-term savings. The design approach has been so well received that we are rolling it out to other facilities worldwide. Significantly, we recently announced that Aref Matin has joined us as our new Chief Technology Officer. Aref who reports to me, will help us excel as the high performing technology organization serving both the research and education market. He is a proven innovator and is adept at building complex technology teams developing successful products, modernizing platforms. His overarching goal is to support our core strategy of investing in innovation that expands and enhances our offerings, extend our distribution channels and adds value to our customers and partners. This is critical because we are predominantly a digital company today with nearly three-fourths of our revenue generated by digital products and services. The trends in this regard are very favorable and we are excited by what Aref brings to our team. I will now pass the call over to John who will take you through our results, business optimization efforts, financial position and capital allocation.
John Kritzmacher: Thank you, Brian. GAAP results improved considerably this year with revenue, operating income and EPS rising 5%, 16% and 70% respectively. Revenue growth included favorable foreign exchange of approximately 60 million. Operating income growth was largely the result of higher revenue and savings from business optimization and restructuring initiatives. EPS growth was due to higher operating income as well as a non-cash tax benefit of 25 million or $0.43 per share resulting from US tax reform enacted in December. Other notable year-over-year variances include the higher restructuring charges in the current year, offset by significant charges in the prior year for an unfavorable tax ruling in Germany and a US pension settlement. On a constant currency basis, revenue rose 1%, adjusted operating income rose 7% and adjusted EPS rose 3%. The muted growth in adjusted EPS as compared to growth in adjusted operating income was due to discrete tax credits of $0.12 per share recorded in the prior year. Fourth quarter performance was also positive on a GAAP basis, with revenue, operating income and EPS up 6%, 18% and 16% respectively. Revenue growth was mainly due to favorable foreign exchange. Operating income and EPS growth also reflected efficiency gains and restructuring savings which offset a 3.7 million unfavorable variance and restructuring charges. Fourth quarter revenue, adjusted operating income and adjusted EPS on a constant currency basis were up 1%, 18% and 16% respectively. Adjusted operating income and adjusted EPS growth were driven by revenue growth and efficiency gains. Moving on to segment results, from this point forward, I will be talking to results on a constant currency basis unless otherwise noted. Our research segment includes, world renowned Journal content, tools and services in the areas of science, technical, medical and scholarly research. Overall, research revenue for the year rose 4%, Open Access growth of 34% and Atypon's full year contribution to consolidated results was the primary driver [Audio Gap]. Journal subscription revenue was flat for the year. Adjusted CTP was flat due to higher royalties for licensed society publishing. The society business continues to be a bright spot for us. We had net calendar year 2018 licensing wins totaling 11 million in annual revenue along with licensing renewals totaling 81 million. Our society retention rate for calendar year 2018 was 97%. For the quarter, revenue was up 5% due to 2% growth in subscriptions and 51% growth in Open Access. Adjusted CTP declined 2% due to higher society licensing royalties. Our publishing segment which includes higher education content and tools, trade publishing, professional reference material and test preparation had a better year than we initially anticipated with STM and professional publishing down 3% and education publishing down 6%. Print declines were lower while education realized strong growth in digital. We are modestly encouraged by the improved performance after a very difficult fiscal 2017 some of which was due to channel consolidation that we believe is now behind us. We continue to expect challenging market trends in fiscal 2019 however, with declines in print continuing to outpace increases in digital sales. WileyPLUS results were down partly due to the previously cited timing of rental recognition which reflected longer sales recognition for course subscriptions extending across two semesters. As noted, we are gearing up for our next generation WileyPLUS launch in the fall which should serve as a strong catalyst for growth overtime. Our test preparation and certification business was flat for the year. Declines in ACT and flat participation in CPA testing were contributors as was the decline in local exams in India. That said, we’re seeing excellent progress in our global expansion with large partnerships for the finance exams now in China and India and we’ve shifted our focus to the larger institutional market. From this, we expect growth in test preparation to resume in fiscal 2019. For the year, adjusted CTP rose 2% due to efficiency gains. In fact, despite the continuing revenue declines in publishing, adjusted CTP was higher for fiscal 2018 than it was back in fiscal 2016. For the quarter, publishing revenue was down 5% and adjusted CTP was down 19% mostly due to lower revenue. Solutions revenue performance was mixed with growth in education services and professional assessment offsetting a modest decline in corporate learning. Overall, revenue rose 3% while adjusted CTP grew 56% due to increased operating efficiency. The CTP margin of the solutions segment grew to 11% this year from 7% in fiscal 2017. Education services reported 7% revenue growth for the year, the business development pipeline for new university partners is solid and we’re seeing good momentum in fee for service management in areas like student recruitment. We continue to optimize the partner portfolio to focus on larger, high potential partnerships and we are vesting to win new business while parrying down parts of the portfolio that have more limited potential. We now have 34 partners and 239 programs down from 39 partners and 250 programs a year ago. Our professional assessment business rose 2% for the year, we’re seeing great momentum and leadership assessment notably our everything DiSC and five behaviors leadership franchisees. We continue to add new distribution partners and we see improved growth ahead for this business. Corporate learning had a difficult year, the slowdown in French government funding for unemployment initiatives and university based blended learnings programs was a major contributor. We continue to see good progress in Europe with new customers signings and the platform continues to receive industry and analyst accolades. For the quarter, solutions revenue was up 2% and adjusted CTP was up 80%. Our business optimization efforts continue as we seek to increase efficiency and effectiveness and improve customer and employee satisfaction. As previously noted, we migrated our Wiley Online Library to our industry-leading Literatum platform in the middle of the fourth quarter. We are now well on our way to realizing considerable cost synergies, while improving overall library and researcher customer satisfaction and adding capabilities to provide enhanced services to our society partners. Further, the Atypon acquisition has accelerated our technology roadmap and gives us a strong platform to launch new products and services for the research community. In early May, we successfully launched our ERP implementation of order to cash process fees for journals. You may recall that we implemented record-to-report and procure to pay capabilities for all of Wiley in fiscal 2017. Taken together, our ERP implementation is now beginning to deliver targeted benefits in terms of operating efficiency, speed and ability to readily access reliable consistent business information. Meanwhile, we continue to improve our enterprise IT capabilities and services while lowering our costs. Our data centers have been consolidated into our paired co-location facilities in Texas or migrated to the cloud. We’ve deployed new employee productivity tools for video conferencing and social networking and we built the topnotch IT security function. At the same time, we reduced our operating expenses for IT by 5% in fiscal 2018. During the fourth quarter, we also completed the transformation of our New Jersey headquarters. As many of you know, we renovated our office space to consolidate for us, which will result in substantial long-term savings and the more productive, collaborative and efficient workspace. Looking ahead, we see important opportunities to further optimize our business performance. Our highest priorities will include further advances in technology, particularly with respect to our in-house product development capabilities. We also see considerable opportunity for process simplification and standardization across our editorial and content management functions. These editorial and content management opportunities will receive additional direct to investment in fiscal 2019. Our overall financial position remains strong with a net debt to EBITDA ratio of 0.5. We have considerable capacity to invest in new assets and capabilities to enable revenue growth and improve business performance. We will actively pursue strategic acquisitions while continuing to return cash to shareholders. Cash provided by operating activities for the year was 374 million, up 59 million from fiscal 2017. Free cash flow less product development spending was 224 million, up 58 million from fiscal 2017. Earnings growth and working capital improvements drove the year-over-year improvements and cash flow. Capital expenditures which include technology, property and equipment as well as product development spending rose 1 million to 150 million. We devoted 74 million or a third of free cash flow to dividends and 40 million to share repurchases. In June 2017, Wiley raised its dividends for the 24th consecutive year. The next annual dividend review by the board is scheduled for next week. And with that, I’ll pass the call back to Brian.
Brian Napack: Thanks, John. So last year was a very good year for Wiley and I am optimistic about what’s to come. Our growth profile needs to improve and we’ll acquire targeted investment and continued focus on business optimization. Areas of current focus and research include publishing more as the research market continues to grow with an eye on increasing article output, launching new journals and growing our share in the Open Access publishing market. We will continue building out our China and India footprints, adding leadership, sales and editorial resources, we will focus on optimizing our industry leading society business and signing up new partners. The team, myself included will continue to sit down with our customers and partners to understand their evolving needs. We will develop new products that fit those needs such as the recently launched digital archives product which makes unique and rare primary historical information and artifacts from the archive of our partners society available to researchers and readers around the world. In education, as you can tell I’m using the term education to cover the full spectrum of our consumer, institutional and corporate learning businesses, we’re focused on delivering a full range of content, courseware and services that drive outcomes and meet the changing career focus needs of learners. This will include the broad rollout of our new WileyPLUS courseware platform, the extension of our test prep and certifications business and the continued commitment to the highest quality publishing across all of our education businesses. We’ll be innovating in higher Ed publishing to attractive new distribution and pricing models such as inclusive access and expanding our book rental programs to ensure that students have affordable options to support their studies. We are also investing to enhance growth in our Wiley education services business. We expect good things in that business going forward. On to guidance, fiscal 2019 will be a year of investment to improve and sustain revenue growth over the long-term. We anticipate modest growth in research and solutions offset by modest declines in publishing for an overall revenue picture that is flat. In research, we expect to see strong growth in Open Access and steady performance in Journal subscriptions. In publishing, modest declines in trade and reference publishing and improved growth in test prep and WileyPLUS. In Solutions, solid growth in education services improved growth in professional assessment and modest decline in corporate learning due to the wind down of French government funding for unemployment initiatives in university based blended learning programs. Adjusted EPS is expected to be down mid-single digits primarily due to the investments we’ve spoken about. Cash provided by operating activities is anticipated to be down high single digits due to anticipated operating performance and lower working capital gains. Finally, capital expenditures are expected to decline modestly with the completion of the headquarters transformation although investments in product development and business optimization are expected to grow. We have work to do but we see bigger things ahead. We feel good about the momentum in certain parts of our business, the market position and competitive modes in other parts. We feel good about our overall margin profile and the opportunities to improve our cost structure. We feel good about our markets in our existing assets in our financial capacity and our ability to generate cash but we certainly have work to do. Looking back, we’re pleased with the year we had, we exceeded guidance across the board, made some key hires and achieved significant operational milestones. Looking forward, as noted we’re working hard to improve the growth profile of the business and generate savings and efficiency gains from business optimization. We continue to work hard on our strategic plan and we will share more on our future directions in the coming months. Some final thoughts as we look to the future, Wiley operates in two high stake ecosystems, research and education. A whole lot rides on the success of both researchers and students, the complex nature of these two interconnected world demands by definition healthy, constructive partnership. In short, the research value chain cannot succeed without successful collaboration between researchers, funders, libraries, education institutions, societies, publishers and platform providers. Any link breaks and we are all worse-off. Similarly, education ecosystem cannot succeed without partnership between those same educational institutions along with professors, publishers, software and platform providers, employers and others. Education is a team sport. Over the years Wiley has been an active and constructive collaborator and partner and contributor throughout both education and research. And this has been central to our success for many generations. Going forward, we intend to continue to engage actively and constructively in these sectors, addressing problems and challenges head on and doing our best to partner with key stakeholders to ensure that all these, all important sectors continue to develop, to deliver the outcomes that our global society needs. I’m very confident both the attractiveness of our markets over the long-term and our ability to execute as the leader within those markets, I’m confident in our foundational assets, financial position and capacity to invest in our people and our governance. And in our strategic thinking and ability to execute with the singular aim of ensuring that Wiley is a great company for many years to come. With that as background, we welcome your comments and questions.
Operator: Thank you. [Operator Instructions]. And first we’ll go to Drew Crum with Stifel.
Drew Crum: I have a couple of questions on the research segment. Maybe just starting with the fiscal fourth quarter performance, the revenue was up 10%, but the adjusted contribution, the profit down 2% on an adjusted basis, and at least in the press release you cited higher royalty costs from society journals. Was that something unique in the quarter or something that we should anticipate on a go-forward basis?
John Kritzmacher: So, Drew, good morning. On a constant currency basis, revenue for research was up 5% in the quarter, and we were up 3% for the year. I think we’ve been talking about during the year along with that revenue growth, we are seeing some incremental competitive pressure on royalty. So, it’s not new, it may have been a little more concentrated in the fourth quarter just around timing, but there clearly is pressure on royalties, it puts pressure on our margins. As we’ve said in the past, in response to that pressure, we believe that we can drive additional operating efficiencies in the business, particularly around editorial and content management in the business, some standardization and simplification of the way we do things around the globe, and a bit of automation that we need to invest in that will help us offset that pressure. But it’s steady, it’s not new and it is not directionally shifting I would say.
Drew Crum: And Brian, I think you've characterized your expectations for Research Journals in fiscal ’19 is steady. Any additional color or detail you can provide behind that comment would be of interest to us.
Brian Napack: Yes. The research publishing business is a significant substantial business as you know. It is not growing dramatically. There are many puts and takes across the business as we change business models and as we evolved our business models to meet the needs of our customers worldwide. So, there is a steady nature to the market itself and underneath the surface there are some puts and takes between subscriptions, Open Access models, our corporate business, and other segments, so that’s basically what’s behind the comment.
Drew Crum: Okay. And then John just shifting gears to the cash flow, could you comment on the working capital benefit for the quarter or for the year and just working some rough math here if cash flow from operating activities is down high-single digits and you’re expecting CapEx to be down modestly, should we assume free cash flow is going to be around that $200 million threshold?
John Kritzmacher: So, Drew, you are in the zone. So, as we commented earlier, cash from ops was up about 59 million, free cash flow up about 58 million, the change year-over-year in CapEx was only up 1 million. More than half of the improvement in cash flow came from working capital gains, and you’ll recall that we actually -- was the opposite way, we underperformed on the working capital at the end of fiscal ’17. So, we had indicated in our guidance that in ’18 we would recapture that underperformance on our working capital. So, we did and it contributed substantially to the improvement in cash flow for this year, and then next year we moved back into a more steady state.
Drew Crum: Okay, okay. And then just one last housekeeping item from me. What should we assume for a tax rate in fiscal ’19, a book tax rate?
John Kritzmacher: We’re expecting the tax rate will be in the range of 23% to 24%.
Drew Crum: Okay, got it. Okay, thanks guys.
Operator: [Operator Instructions]. Moving on, we’ll go to Daniel Moore with CJS Securities.
Daniel Moore: Good morning Brad and good morning John.
John Kritzmacher: Good morning.
Daniel Moore: I wanted to start with housekeeping and then work back to strategy. Based on FX rates right now, what would be the impact of revenue and EPS for Q1 and fiscal ’19?
John Kritzmacher: If the current rates were to hold for the year, we would expect for the year to have an adverse impact of about 10 million to revenue and about $0.10 to EPS.
Daniel Moore: Perfect, okay. And then switching gears, as it relates to trends but also guide solutions specifically, can we talk a little bit about online program management and professional assessment, the growth is still positive obviously but not enough to offset what’s going on in corporate learning, and so we’re looking it's kind of low-single digit growth overall? Maybe just dig into each of those two pieces, those two businesses, what your outlook is for FX adjusted growth for each, and I think they may be a little bit slower than we had thought at least looking -- turning the calendar back a couple of years?
John Kritzmacher: So, let’s start with the online programs business and then we can talk about assessments. So, in the online programs business, as you know for some time now, we’ve been working through a rotation in the portfolio of partners and programs to focus on opportunities where we could have partners that will be able to support and thrive with more programs and programs that will also be able to support more students. And so, we’ve been working through that rotation and that has largely driven what for us has been a decrease in the overall number of partners and programs in the short-term. We are, as commented, investing for growth, and we in fact expect to invest a bit more to accelerate growth in the year ahead. Our intent is to push the growth rate and the online programs part of our business back into double-digit rates and to do that in the coming year, but we’ve got some work to do there as you know. On the professional assessment side, we’ve been working through a bit of a pruning around the portfolio acquired in our profile's international acquisition, that’s the pre-hire part of our business, and we’ve also been working through some challenges around our go-to-market strategy there. We think we have about bottomed that out but that’s been drag on the professional assessment business, that part of the business as we’ve been pruning it, we’ve been taking out revenue, we’ve been actually improving profitability there as you’ll see in our results, but it’s been at the expense of some top-line performance. We’re expecting to bottom that out in the next year we’re about there. And then beyond that we should see that part of our business, it’s moved back in the direction of growth in the mid-single-digit kind of range.
Daniel Moore: Got it. That dove tails well into my next question which is, specifically what are the investments on the research side of the business that you intend to make in fiscal ’19 to accelerate growth?
John Kritzmacher: So, the most important investments that we’re making in the research business are around growth in article output, and that includes particularly growth in our participation in Open Access, which we believe is great opportunity as Brian noted in his comments to publish more research that is certainly worthy of publication but doesn’t get published in the current environment. So, an emphasis around supporting Open Access growth and also emphasis around growing article output, in particular in China and in India. We also see opportunities to introduce new platforms and services in our Atypon business or as parts of our research business and we’ll roll those out in more detail as we come around with strategy discussion later in the summer or early fall. And finally, we’re making significant investments around editorial and content process as we said over the coming months so that we can enhance those processes streamline and accelerate the publishing process. And that’s going to require a little bit of upfront investment for us to do some of that reengineering work. Those are the key components of investment for research in the coming year.
Daniel Moore: And is it possible to quantify the roughly speaking amount of incremental spend you intend to make both in research and education?
John Kritzmacher: I think, I prefer that we come back to that when we talk about strategy in the fall rather than get specific about it now. I think, we’ll be able to -- we take a little further along in where we are on some of the programs that we intend to implement before we get more specific about what that investment looks like. We've accommodated what we think is a reasonable placeholder if you will for investment in the current plan but we will get a little more detail to work through there.
Daniel Moore: And is that intended to be largely one-time in nature or are most of these investments we think of as recurring beyond fiscal ’19?
John Kritzmacher: I would say that there is a mix, right, things like investing for growth in OA, are going to require a step up in spend that will have a continuing element about it. On the other hand, investment for improving our business performance, our operational performance in editorial and content will require some upfront investment and then it will pay it back in savings overtime. So, it’s a little of each Dan.
Daniel Moore: Okay. And lastly from me, a lot of great color Brian around strategy, around your place in the global education marketplace, around where you see Wiley fitting in and on a go forward basis. In terms of kind of longer term financial goals, is there a timeframe around which we should think about you providing whether its 2022 view or just long-term growth and margin expectations. Is that something we should expect some time in future?
Brian Napack: Well look we’re in the middle of going through our strategic process. We’re having great progress, we are seeing significant opportunity in and around all of our businesses, we do expect those initiatives or those -- the initiatives that we pursue as a result of that planning process to generate growth and improve profitability. Very optimistic about that. I don’t see us providing a long-term view specific financial view anytime in the near future, but as we come to September and the months that follow, we will start to be able to discuss in greater detail what the specific directions are, where we are planning to invest any adjustments we might make to our allocation of capital across portfolio and things like that. But I don’t anticipate us providing a longer term financial view per se at that point.
Daniel Moore: Got it, thank you guys for the color.
Operator: [Operator Instructions]. And it appears there are no further questions at this point in time. We’ll turn the call back to Mr. Napack.
Brian Napack: Thanks for joining us on the call today. Appreciate you’re joining us, we’ll talk to you when we issue our first quarter results in September.
Operator: Thank you. And this does conclude today’s conference. We’d like to thank everyone for their participation. You may now disconnect.